Operator: Hello, and welcome to the First Quarter Fiscal Year 2015 Earnings Results Conference Call. My name is Joe, and I will be your operator for today's call. [Operator Instructions] Please note that this conference is also being recorded. I will now turn the conference over to Mr. Jim Herbert. Mr. Herbert, you may begin. 
James Herbert: Thank you, Joe, and good morning and welcome to our regular quarterly conference call for investors and analysts. Today, we'll be reporting to you the results of our first quarter for our 2015 year that ended on August 31. And as in normal, I would remind you that some of the statements that are made here today could be termed as forward-looking statements and these forward-looking statements, of course, are subject to certain risks and uncertainties. Actual results might differ from those that we discuss today. And these risks that are associated with our business are covered in part in the company's Form 10-K, as filed with the Securities and Exchange Commission.
 In addition to those of you who are joined by this live telephone conference, I'd also welcome those who may be joined by way of simulcast on the World Wide Web. Following comments this morning, we'll entertain questions from participants, who are joined by the live conference. And I'm joined today by Steve Quinlan, our Chief Financial Officer.
 I apologize for my raspy throat. I think it may have come from too much football scoring since, I think, was I was over-served Saturday with 70-something block teams. So it must've gone into my throat somehow. Anyway, earlier today, Neogen issued a press release announcing the results of our first quarter that ended on August 31. 
 Net income for the first quarter of this 2015 fiscal year was approximately $8.9 million. That's a 13% increase compared to our net income last year of approximately $7.8 million. That's over $1 million more than last year and the largest net income that the company has ever reported.
 Adjusted for the 3-for-2 stock split that was effective last October, earnings per share came in at $0.24 as compared to $0.21 a year ago. Revenues increased 15% to approximately $67.6 million. That's up from last year's first quarter of approximately $58.5 million. Again, these first quarter revenues set a new record for our 32-year-old company. 
 I know for the previous couple of quarters, it's been a bit of concern that our top line revenues were growing at great rates, but this was not being translated in to commensurate increases at the bottom line. We knew or we were positioned in those past few quarters. We had brought in 3 new acquisitions at about a 6-month period and were also up against some tough comparable numbers in the previous year, in which there've been almost worldwide outbreaks of mycotoxins of one sort or another and there were big issues over ground beef being adulterated with horse meat. And it's now been 8 months since the last acquisition and I think as you can see with the numbers, we're settling in into this new fiscal year comfortably. 
 I'm sure most of you know that a major metric that we use in operations, is operating income as percent of sales. 20% has been the optimum level that we believe is healthy for the business. The first quarter, we almost got there with an operating income of 19.9% for the quarter. The first quarter was the 90th quarter in the past 95 quarters that Neogen has reported driven the increases as compared with the previous year. That's a record that now spans almost 24 years.
 There were a number of positive organic developments during the first quarter that should lead us well into the new year. On the Animal Safety side, take a good look at that first. Rodenticide sales in the first quarter were strong. This is especially promising since we don't normally see those sales pick up until the beginning of the second or third quarters. As another part of our biosecurity system on the animal side, we talked about it as being sort of an important part of our Food Safety back inside the farm gate.  Our insecticides program there is growing nicely. This includes the product line that have been part of our group for the past several years, and to that has been added the Chem-Tech line of insecticide products that were added in January. 
 The Needle and Syringe business is a part of that biosecurity system and continued strong into the first quarter. This was led by our continued strong growth of our Detectable Needle business. Some of you may remember back a few years ago when our engineers developed a patented stainless steel metallurgy for use in hypodermic needles that could be detected with metal detectors in a processing plant in the event that the needle had broken off sometime during the animal's regular injection cycle. The normal stainless steel needle is not detectable with those metal detectors. 
 Our Animal Safety group has just launched its NeoFilm product line for commercial dairymen to diagnose the onset of metastasis, or mammary infection that's prevalent in many dairy cattle. The simple two-step test allows dairymen to determine overnight what kind of infection that that particular cow might be facing and therefore prescribe the treatment. In some cases, intramammary  infusion of antibiotics is used. In other cases, no treatment is necessary and the infection just sort of runs itself in normal course. This of course helps keep antibody growth out of the milk that we consume. 
 Also on the dairy side, our Animal Safety group just released a new Dairy Heifer replacement program that's part of our GeneSeek operations. This simple program allows a producer to pool a quick sample from young heifers, run it through our genomic process, and find out what kind of calves you make 2 years later. This is one that our own marketing program is being strongly supplemented by a recent agreement that we did with Merck Animal Health. Their sales organization will be making the selection available throughout the U.S. to dairy customers of Merck's which joins own marketing program.
 Our GeneSeek business is growing -- it was already growing even before the addition of these new samples. You may remember that we moved into our new laboratory earlier this quarter. In the quarter we just completed, we were running approximately 85,000 samples a month, which is about a 15% increase over last year's run rate. As further information on the Animal Safety side, just in general, I can say that I'm pleased with all 3 of the acquisitions that we made last year and that we are at -- or ahead of our budgeted plans for those 3. 
 Probably this is a good time we stop and get a cup of coffee or something to get the throat back working and turn this call over to Steve Quinlan to  preview you on the growth and the outlook for our Food Safety group, and give you some color behind the numbers that I just talked about. Then I'll come back and talk about, after Steve gets through, and talk about some of the future opportunities that we're seeing. Steve? 
Steven Quinlan: Thanks, Jim, and welcome to everyone listening on the conference call, as well as those joining us via the Internet. Jim has already reported on the overall sales and profit performance for the first quarter of our fiscal year. In the next few minutes, I'm going to give you some color behind those results and I'll start by discussing the performance of the Food Safety group.
 Revenues for the Food Safety segment were up 3% in the first quarter. But these results stack up against difficult comparisons from last year's first quarter when, as Jim said, we hit the tail of the aflatoxin outbreak from the 2012 calendar year and we're in the middle stages of the horse meat speciation scandal in the U.K. Without those headwinds, revenue growth would have been more in the 7% range.
 Markets, which were strong for our Lansing-based diagnostic group for grocery products which were up 16%; dairy which was up 33%; and the commercial lab group up 9%. Our Neogen Europe operations led the way for the quarter with sales up 9%. This growth was on top of growth of 54% in last year's first quarter, which resulted from the speciation outbreak in the U.K. The biggest growth driver for the quarter this year was the 52% increase in genomic testing services in Europe, the result of our investment in direct sales personnel based in Europe to capture business, coupled with the strong product offering in this important market.
 Neogen Latino America, our business based in Mexico City, had a 77% revenue increase as they took over a number of customers in Mexico and Central America formerly served by our Lexington operations, based on their increased capabilities to serve those customers directly.
 Neogen do Brazil had a 12% increase in its Food Safety product sales, with a large one-time genomic research project in the prior year resulted in a 9% overall revenue decline in the current quarter. We've made significant investments in personnel and infrastructure in both Brazil and Mexico in the past year and have high growth expectations for these businesses and markets going forward.
 A number of our product lines contributed to Food Safety's first quarter results. Revenues for our industry-leading product line to detect inadvertent allergen contamination, which includes diagnostic tests to determine the presence of milk, peanuts and processed soy, amongst others, continues to be robust and were up 12% in the quarter. Milk test kit sales were particularly strong, up 28%. We continue to strengthen our allergen test kit product portfolio and recently adding new test for contaminants such as mustards and believe we'll continue to capture share in this growing market segment.
 Our AccuPoint line, which is used to detect general sanitation and cleanliness in food processing environments, had a 6% increase in revenues during the quarter for the disposable samplers. We've invested over $1 million in new automation equipment to produce our next generation sampler, which will be introduced in the very near future.
 Revenues from products such as ampouled media and filters used to test and monitor water quality at beverage manufacturers rose 18% in the quarter, continuing their strong recent growth as we penetrate this growing and important market.
 Although our natural toxin product sales decreased 4% compared to last year due to that tail of that aflatoxin outbreak from calendar 2012, DON sales increased 11% in the quarter based on sporadic outbreaks of DON across the U.S. in the current crops. This should be the last difficult comparative quarter related to that aflatoxin outbreak.
 Revenues for our test to detect the presence of antibiotics in milk declined by 12% in the quarter due primarily to order timing at a large European distributor and changing testing regulations in the Eastern European markets for these products.
 We had 16% growth in sales of the consumable vials used in the Soleris line of optical microbial test systems, which are used to detect spoilage or organisms like yeast and molds. Our placement of equipment in this product line declined 44% in the quarter after a strong finish to the 2014 fiscal year. 
 I believe, as we've discussed in previous calls, this product line can give lumpy results due to the timing of equipment placements. The prospect pipeline for equipment remains very strong and we believe that we'll see increased equipment revenues as the year progresses and like the razor-razorblade model, this will give rise to even more consumables, which carry good margins.
 The Animal Safety segment achieved revenue growth of 28% in the first quarter, aided by the recent acquisitions of SyrVet, Prima Tech and Chem-Tech. Animal Safety's Lexington division recorded revenue increases of almost 16% in the quarter. In addition to the increase provided from the acquisitions, our line of patented D3 detectable needles were up 27%. Our diagnostic line grew 22%, aided in part by forensic kit sales to commercial labs. Now these increases offset a 16% decline in our Disposable business, which we believe is due to order timing and which is a lower margin product line for us.
 Within our Animal Care Line, sales of the wound care product declined by almost $1 million due to a competitor, which had been shut down coming back into the market.  And the distributed antibiotic product declined $210,000 due to our withdrawal of their product from the market. 
 Animal Safety Division, which is located in Randolph, Wisconsin, and produces rodenticides and cleaners and disinfectants, which are important pieces of effective biosecurity programs maintained by animal protein producers, recorded flat sales for the quarter. A $1.2 million increase in rodenticide sales resulting from a bull [ph] outbreak in the Northwest U.S. was offset by a similar decline in cleaners and disinfectants due to the transfer of some business to Neogen LA and lower international shipments. 
 Chem-Tech, the insecticide business based in Pleasantville, Iowa, which we acquired in January, provided $5.1 million in sales this quarter, which was higher than budgeted and we're excited about its future.
 GeneSeek, our genomics-based testing and bioinformatics business located in Lincoln,		 Nebraska had a strong quarter, with a revenue increase of 12% with particular gains in the swine market, a significant poultry genotyping project and continued strength in the dairy and beef cattle markets.
 Gross margins were 50.4% for the quarter compared to 51.9% in last year's first quarter. The change there reflects a shift in product mix towards Animal Safety products. We were pleased that gross margins rebounded from last year's final 3 quarters to get back to the 50% level. And improvements over those quarters reflects improved product mix within the Animal Safety segment and better efficiencies realized at GeneSeek, in part due to its move to its new operations in Lincoln. 
 Overall, operating expenses were up 15% compared to last year's first quarter. Sales and marketing expenses increased 18%, primarily reflecting the impact of hires made in fiscal 2014 and increases in shipping due to the increased revenue for the quarter. 
 G&A expenses rose 9% for the quarter, due primarily to higher amortization expenses resulting from our recent acquisitions and increased stock option expense. Each of those expenses are noncash charges.
 R&D expenses increased 15% over the prior year due to outside services and cost incurred in scaling of several products for larger manufacturing batch sizes. With the 15.5% increase in revenue and solid gross margins of 50.4%, we were able to generate operating income of $13.4 million, an increase of 8.2% or $1 million over last year. Expressed as a percentage of revenues, as Jim indicated, operating income was 19.9% compared to 21.2% last year. The quarter was favorably impacted by a $240,000 pickup we recorded in other income below the operating income line. This related to the earnout paid to the former owner of SyrVet.
 Last year in the first quarter, we recognized approximately $630,000 in foreign currency translation losses in other income and expense, as a number of currencies in countries we operate in devalued against the U.S. dollar.
 On the balance sheet. Our receivable balance declined slightly compared to year end and our collection period improved by 2 days. Inventory increased by $3.9 million or 8%. Approximately $1 million of that increase was due to lack of trucks to ship product over the Labor Day weekend, which was the close of our quarter. 
 We're working hard as a company to improve our inventory turnover and have programs in place at each operation to make that happen. We finished the quarter with $88 million in cash and marketable securities compared to $76 million we had at the end of May, reflecting the strong cash generation from the company's operations.
 While we're pleased with the overall operating -- improved operating results for our first quarter, we realized that we need to accelerate the organic growth performance of our businesses. Each group has some good tailwinds behind it and we're excited about the remainder of the year ahead.
 Thanks for your attention. At this point, I'll turn it back to Jim for his comments. 
James Herbert: Thanks, Steve, for that update. Let's take the next few minutes and talk about the future opportunities that we see on the horizon and here we are in the last week of September here in the northern hemisphere, it's beginning to be grain harvest time. So we'll take a first look at the world grain crop and how this may impact several of our businesses. 
 The crops look good. The USDA continues to upgrade its forecast on the size of the crop for all commodities and in particular, corn and soybeans. They are just now seeing the last -- we're just now seeing the last of the wheat and barley crops come out of the northwest. There was some problem that we gained here in the last month on the diagnostic test to detect the DON in wheat and barley that was, some in Dakota, Minnesota and up into Central Canada. However, most of that crops now in the bins, and those sales have been good. Really when you think, that's been all significant. 
 As far as the rest of the U.S. is concerned and then on into Mexico and Central America, as I've said earlier, the crops continue to look good. We will probably see not just clean crops, but clean bumper crops from both corn and soybeans and those prices are dropping dramatically. This will help on the meat processing side, our meat production side. Both beef and pork are at half price levels at retail because of the shortage of animals. 
 In the U.S., baby pig virus played its toll on available animals and the draft continued to hold down the rebuilding of beef herds, from a positive standpoint. These freezer calves [ph] that are now worth about twice as much as they were a year ago, with 500 pound going for about $2 a pound. 
 As we go forward into the fall, I expect that we'll see some increases in our beef effort replacement program and GeneSeek as a result of the industry rebuilding, its beef cattle herds. We're building back already, the swine breeding herds after that disaster during the summer with the baby pig virus. So in general, we're not going to see mycotoxins but we're going to see, I think, some good positive impact from the animal side, animal protein side of our business. 
 One of the hot topics of conversation in food safety as we move into the winter will be the labeling of food that may contain GMO ingredients. This is not going to be a simple task, it will accomplish what the consumer might desire. However, we are working with all facets of the industry to see if we can develop a testing program that will delay the concerns of part of the consuming public and yet, at the same time, not create new problems for grain producers, processors and merchandisers. 
 Organic foods went down, and played some role in this area and are increasing in volume and not just here in the U.S. but in most European countries. We're currently working with the organic industries to help them better provide safe foods for their portion of the market.
 Our growth strategies will continue to follow the same successful path that we've used in the past. Internally developed products from our R&D will help increase revenues and bottom line results as our customers continue to tell us how we can be helpful in providing them with the solutions they need. We will continue, I believe, to gain market share in a number of the markets in which we're already operating. The acquisitions will be -- they will continue to play a big role. We don't currently have any letters of intent in place. However, we have several good acquisition opportunities that could be nearby. As our balance sheet shows, and as Steve mentioned, we have the necessary capital to make sizable acquisitions and if needed we'll certainly have access to the debt market to step up even stronger since we're sitting on cash positions with no real debt. 
 And the fourth leg of that stool is our International business and we'll continue to grow it, it's growing now and we are especially putting additional resources in those countries in which we already have boots on the ground. I've spent some time earlier this month with the management teams of both our Mexico and Brazilian businesses and believe that both of those will accelerate as we move through the year. 
 Our Scotland operations were up about 8% for the quarter but that's huge compared to the tremendous quarter that they had this time a year ago. And I can tell you that the status of Scotland's independence, of course, have left us with some questions until last Thursday. We serve distributors in over 40 countries outside from the warehouse system in Ayr, Scotland. And we're beginning to wonder if we need to put a contingency plan in place, but that's my understanding. 
 We did have the opportunity to ring the bell to close the NASDAQ market a few weeks back. This marked the 25th year that Neogen has been a public company. The NASDAQ official that welcomed us remembered the time when we first went on the NASDAQ board having done our initial public offering that raised a huge sum of $6 million, and that $6 million put our market cap on a company of about $16 million. 
 He fast-forward to the audience and cited that he bought a $5 share stock 25 years ago, that share would be worth about 40x what he paid for or about $200 a share. And of course, overall market capital of the company has grown from $16 million to approximately $1.6 billion. 
 I rang the bell and accepted in behalf of the 950 Neogen employees around the world who have been the ones that really built the company into what it is today. However, I can assure you that it was a bit humbling to make my comments from the podium inside the studio while looking after glass windows on to the street and seeing that what we were doing inside was being televised on the face of a 70-foot NASDAQ tower just up right out in the middle of Times Square. 
 This concludes our formal comments of the morning. Now Joe, I'll turn it back over to you for questions and answers from the audience. 
Operator: [Operator Instructions] And our first question here comes from Tony Brenner from Roth Capital Partners. 
Anton Brenner: Did you mention what the organic sales growth for the Animal Safety products was in the quarter? 
James Herbert: Well, that's a good question. It's a little bit hard to figure and that some of these acquisitions are beginning to be kind of aged, particularly the one that we did last July. Once we brought that business in, it stepped up and its revenues are based on what we've built there, are considerably stronger than what they would have been at the time that we brought them in. The same thing is true with Prima Tech product line. So as you call that, is it organic sales or is it sales from acquisitions, they amount to -- add it to -- it's a little bit difficult. I don't have the numbers right off the top of my head. Plus the fact that we moved a good bit of business that was on the Animal Safety side but they will be going direct with it in Mexico as an example, it had been on this Animal Safety product have been accounted for there. But the Mexican operations are fully reported under the Food Safety group now. So there were some numbers that moved from Animal Safety that was purely organic over to Food Safety as a result of what we're doing in Mexico.  If you take into account all of that, Tony, it is not a true representation, but if taken all that into account. We're probably -- we'd be about flat, probably. But that's not true, but if you get the accounting in the fashion that was done in a year ago after transferring that stuff, it would have been about flat. This is politics even. So I'm beginning to learn how to answer questions without giving answers. 
Anton Brenner: Right. Given that, Jim, and given the fact that on the Food Safety side, even eliminating the impact of mycotoxin and meat speciation declines, Europe about 7%, which is 500 or 700 basis points below presumed trend line growth rate there, and the mycotoxins and allergens are high margin products. So does that comparison get better during the close of the year, given the fact that even in the first quarter, you are just about at a 20% operating margin, is it then reasonable to think that for the balance of the year, you should hedge beyond your 20% margin? And if so, does that mean you're going to invent some need to spend money on marketing and R&D to bring it back down? 
James Herbert: Tony, I know you didn't mean invent, you really meant that we reach back and get some of the things that are out of our 5-year plan that we wanted to do. It is kind of hard to see what's going to happen next quarter because product mix is so important there. We've got some great things coming organically, we've got a brand new product coming out for our AccuPoint product line on a new platform, we put about $1 million in, we'll put -- we'll start to put the product out there beginning probably next week. That was a system that was automated, was running 24/7 and it was beginning to get aged and we were having slowdown problems. So this is going to help both the cost and put us in a position there. So as I think it is possible, we'll watch up close as to where we put money out. You've heard me talk about India, I'd like to put some money in expansion of the India program, which will be Food Safety, sometime here before Christmas, and so that's not going to be immediately. 
Anton Brenner: Are you talking about building infrastructure or just making an acquisition? 
James Herbert: Making an acquisition and building infrastructure at the same time. So I'm encouraged, when Steven and I were looking over the last numbers when they came out, I was a little surprised that we've done that 19.9%. Under normal conditions, we'll just say 20%, but it was, I thought, a dramatic effect for folks like you to be able to say 19.9%  was still have that. 
Anton Brenner: Okay. So you're telling me that you do have projects that are going to offset some of what otherwise would be a sequential increase in margins, is that the message? 
James Herbert: Well, probably not immediately, no. Steve, can you -- where we're at... 
Steven Quinlan: I think we had really good product mixes this quarter, Tony, so I think maybe Jim is hedging a little bit because the gross margins of 50.4% were a little bit higher than we thought we were going to come in at. So it was just -- it was good strong mix within the Animal Safety segment. Is that going to repeat itself in the next quarter? We just don't know. The mix is critical, that operating income... 
James Herbert: The growth is going to be strong. It will look a little different, because we'll be outside of -- where we had that real increase this quarter. We just finished sort of the tail end, as Steve said, of the big mycotoxin surge that we had that lasted for about 5 quarters and we were still -- first quarter last year, we were still running strong with helping the industry trying to find all the horse meat that was in ground beef. And I think, Steve, we had a 30% increase maybe in the same quarter last year in Neogen Europe with all that search that was going on and as I've said in my comments, considering where they were last year, I feel really good about the 9% growth in the revenue this year. Well, all that will kind of get leveled out and we'll be -- I think we'll be back on a pretty level playing field. 
Operator: Our next question here comes from Mr. Paul Knight from Janney Capital Markets. 
Bryan Kipp: This is actually Bryan Kipp on behalf of Paul. Just kind of wanted to drill in here a little bit on the OpEx side, too. I know in light of your recent acquisition some of the products have some natural synergies especially on the retail side. I just wanted to see if some of that flow-through was from just natural synergies that you guys got on the comp side, and if so, just some color on that would be helpful. And how is that retail business performing relative to expectations? 
James Herbert: That's a good question. Yes, we're -- overall on our Animal Safety side, we've got a lot of products that go through the large retail stores to get to farmers and ranchers. That's true for veterinary medicine, I mean, veterinarians want to say it's true for rodenticides, some cleaners and disinfectants and insecticides, so we've got an advantage because of where we are. As an example, we're the exclusive supplier of a number of products, the doctors' supply that -- Steve, I forgot the numbers or where they are now, but when we started with them they were about 400, and they're up to what now? 
Steven Quinlan: 1,300. 
James Herbert: 1,300. We did pick up with the SyrVet acquisition, we picked up several other big chain suppliers, retail suppliers, this helped them. The synergy is certainly working. It's working back inside and outside the farm gate. As an example, Mars is one of our good customers in a number of places and they're the largest animal food producer in the world and we work with them there. They are a major service. As it relates to canine package [ph] we work with them, solely as their supplier to that product line. And now, beginning last week, at an organic food show in Baltimore and surprised among others, surprised there to see Mars there with an organic rice. So those synergies are certainly working and skip Snickers bars when you know we're a good player there, too. So I think and maybe we're just now beginning to fully realize what we can do with these synergies. 
Bryan Kipp: So I guess in context to that, with the consumables shift that we saw on the Animal Safety side, a little bit higher margin products, lesser instrument in conjunction with this, do you think you're kind of at the start of those synergies or you think that there were some baked in here that can continue to kind of evolve going forward? 
James Herbert: No, no, no. I think it's just a start. For instance, we think we've got -- we had to earn our way onto the shelf but we've got some good opportunities for the insecticide product. The former owners of that business said all they wanted without worrying about trying to get positioned with the retail outlets and we've already got the contacts, we've got the people there. That's just one example of what we can see going forward. More and more concern over on the food safety side, not that there haven't been. But all of a sudden, if you're on that side and you wake up last Thursday morning and you read where the 2 principals, the peanut processors of America, with their Salmonella outbreak a year ago that killed several people and made several hundred sick are found guilty and they're headed for the graybar hotel for a while. And you can remember back in the summer when we had the cattle problem, those guys are -- they've got criminal charges that have been laid against them. The guys in Iowa, folks that we know there, unfortunately, have got problems because of Salmonella entering in eggs and making sick a bunch of people and there's a possibility there that may do some time also, before it's over. As society begins to enforce Food Safety rules, it's kind of gotten to be personal. So I think that's beginning to -- people are unfortunately beginning to see that nobody wants to kill the customers, but at the same time, you didn't think about -- thinking a bad load of peanuts might send you to jail for 5 years either. So I think some of those things are all working. 
Bryan Kipp: Appreciate it. Just I guess a quick follow up on a different line of track, your comments on potentially expanding out to India. Would you need for like a fighter brand there, maybe something that's existing there that's -- or lower end that you might not sell ex U.S., or do you think the existing products that Neogen has, you can kind of just push right down the channel there and work through? And in light of that, what are your views more in the Food Safety side, it's my assumption, I just want to get some color there, just general stuff. 
James Herbert: Clearly they're on the Food Safety side. Animals are a different issue in India, of course. Not that there is not opportunities there. But we have distribution with independent distributors there. But it's not like having your own people on the ground. India and China, if you can remember our past conversations, are important since we're building for what we're going to do over the next 5 years, next 10 years. That's where the middle income population growth is just for going in. India is not growing as fast as China, but it's beginning to grow. And so as that happens, these people are looking for animal proteins for the first time. They want milk and meat and butter and cheese and they go ahead and have the money to pay for it. So the countries got to be able to produce that to satisfy that demand because otherwise, like in China, there's no socioeconomic problem there. But in India, most of our success has always been, if we moved into a different country or sometimes even a different market is to buy a starter culture, if you will. And so we think that there's a couple of potential opportunities to make an acquisition and then to both to lock-step up on to what we already have, to hire somebody that knows the local rules and the local culture. So I would think that, at least at this point, that's kind of the way we're viewing India and there's workforce everywhere else. 
Operator: Our next question here comes from Mr. Drew Jones from Stephens Incorporated. 
Andrew Jones: Speaking with the operating margins, if we look back to what's been a little bit of a drag over the past year or so, how many of those infrastructure investments that you've made over the past 18 months would you say are running full speed at this point? 
James Herbert: Can you ask that question a little differently? 
Andrew Jones: Yes, sure. I guess it seems like a lot of the investments you've made over the past 18 months have been in infrastructure, especially internationally on the Food Safety side. Are those all starting to contribute now? 
Steven Quinlan: I think on the international part, we're probably in early stages. A lot of those hires have been more probably in the last 6 months in the sales and marketing and customer service and technical service support. Those are going to take some time to percolate and -- but domestically, I think a lot of the hires that we've done in the last year, those people are -- those contributions are being felt. 
James Herbert: No, they're paying for themselves. I think that's a question -- and they're paying for themselves in Mexico and Brazil, although we don't really have any real multiples off those but yes, we're having good quarters down there, we have good months down in both places. 
Andrew Jones: Great. In trying to sum up the GMO labeling opportunity, you guys have talked about that a pretty good bit. Just putting some numbers around it, what are you guys doing now in terms of that sort of testing? 
James Herbert: Well, we've got -- let's think about the corn plant, for example and I know you're [ph] sitting in the middle of production country in Arkansas but there's probably about 6 or 7, what we call genetic events that are in the corn that have been spliced in from some outside source. One of those are herbicide resistant, so that you can plant corn spread with herbicide to kill the weeds and not bother the corn. We've got them, too, a couple now for root worm in corn. So that when worm shows up to eat corn roots, it's kind of beta-cystine [ph] system. Acts as the poison, kills the worms. And we've got the same thing for the European corn bore that bores into the corn. So just to give you an example that all of these are a little different. So if you wanted to check something in that corn, for the presence of genetic modification, you have to run half a dozen different tests, which is not really practical, and they continue to introduce them, so we're looking at ways to be able to run a screening test for the guys like Whole Foods or others so that they can say yes if it's corn and when we use this test. And we're not there yet, and I probably already talked more than I want to, for our competitors that are listening, but we're already there, for instance, on the soybeans side. Our test for herbicide resistance in soybeans is still the official test in Brazil. So that if they're shipping soybeans, for instance, that are going to Europe and they don't leave the port unless they've been checked with our test from the presence of the round-up resistance. So it's not a simple issue. If you look at the U.S. in particular, probably over 90% of the corn or soybeans and the sugar beets that are big sugar producer for us have some genetic modification in those product lines, so we think that it needs to be done. And I think genetic modifications are safe, yes, but I also respect those people that say, maybe, but I don't want to eat it. And I think you'll see the same thing out of the Monsantos and the Duponts of the world. It protects their right to be in the marketplace for genetic modifications. If there's some way that those GMOs can be segregated and makes the guys in places like Whole Foods out here. So we're still working on it. We're not quite there, but it's going to be significant. 
Andrew Jones: Okay. And then last one for me, you talked about the bull [ph] outbreak in Northwest United States that helped and drove rodenticides sales in the quarter. Have there been any changes in rodenticide distribution and do you envision any changes this fiscal year? 
James Herbert: No. I think we'll straighten our distribution. And we're gaining in a little more in what we call the agronomic area and most of our rodenticide go into protein production. So they're going into people that are running the areas or tending flocks or chickens or rollers or turkeys. But there's also a good markets out there for those people that are growing spinach and broccoli and we're beginning to see that agronomic business begin to pick up. Of course, they've got their own food safety problems, too. So we're beginning to see how do you keep rats out of the lettuce field and what about cleaning. The machinery that's going to the field to harvest the year for each cut salads and they go into several bags. So those all present opportunities for us and then we -- they were there, but as we expand the synergy between our marketing groups, I think we're beginning to see more opportunities. 
Operator: Our next question comes from Mr. Brian Weinstein from William Blair. 
Brian Weinstein: So my question is, you guys always seem to have a lot of kind of prior-year onetime events because you guys are so diverse. I just want to make sure that we have an understanding of what some of those one-time events were, kind of, really benefit or either hurt you guys in the last quarter. We talked about big buyers, the horse meat speciation, is there anything else that's maybe smaller that we should think about and make sure that we're taking into consideration as we're looking at the year here? 
James Herbert: That's a good question that is hard to answer. We couldn't have predicted it. All of a sudden the Irish guy has got calf foot and horse meat in beef, ground beef. We try to be in a position to take advantage of those opportunities. Somebody told me, recently said, " Herbert, you got to be one of the luckiest companies in the world, every time something breaks, you're right there on top it", and I said, "Well, I'll accept that if you'll accept my definition of luck." Luck is when preparation and opportunity collide. And I think we're trying to always be out there in preparation of what might happen where we -- as we talk to the industry, what we think they might need. So I'll talk a little bit about spring business because that's a forward -- we kind of begin to know several months before harvest, generally, what things are going to look like. We didn't call the DON problem in the Dakotas this time for malting barley and for wheat. But again, it's not real big. It helped us, probably most of that's going to come in, in our September business, probably. But now I see it, I'm not sure how to predict let's say if we go through the -- every 2-3 quarters, we go through a risk issue as each of our groups talk about what risk they might see both internally and externally that could affect our business either positively or negatively, and believe me, the -- our board is always saying, "Herbert, where is lightning going to strike next?" I don't know where it's going to strike next. We try to keep our eyes out. I think that's what we tried to build from the start and I think we're beginning to get the synergy between foods and animals and what's happening as we begin to focus more and more on food security going forward. I don't guess I answered you, but it's the best I know how to answer. 
Brian Weinstein: Okay and I appreciate it. And then a question just on obviously -- you've had some management changes at the top, just curious on how the process is to find a replacement for the COO, where that process is, if you have an estimated time frame for when somebody would be coming on board there? 
James Herbert: Yes, thank you for that. We -- there's no secret, we are short a Chief Operating Officer today and everybody else is doubled up and I'm working an hour or 2 longer every week, but we've got some good candidates. I can say we've got down, I think, pretty close to a final panel, probably I wouldn't want to say much more than that, but can we get it done within the next 90 days, I think the answer is probably yes. 
Operator: Our next question here comes from Mr. Stephen O'Neil from Hilliard Lyons. 
Stephen O'Neil: Just 1 quick question and this came up earlier. Are you able to provide the incremental addition to revenue year-over-year from acquisitions? 
James Herbert: That's probably -- I think we can but we don't have it available now. Maybe Steve can get back to you later on that one. 
Operator: Our next question here comes from Mr. Shaun Rodriguez from Cowen and Company. 
Ryan Blicker: This is Ryan Blicker on for Shaun. So the rodenticide revenue was a strong driver in the quarter, just specifically to the Prozac product line. You mentioned obviously the bull [ph] outbreak, how sustainable are these sales and can you speak at all to the margin profile of the Prozac product line? 
James Herbert: Well, I'll let Mr. Quinlan take part of that. We've got several product lines within our rodenticides. This is one of five, I believe, different technical agents that's in it. And it's kind of a fast acting kind of a product that can be used in outdoors, in fields, in orchards. And Steve, I don't know what the margin on Prozac that's -- but it's pretty good it's... 
Steven Quinlan: It's 50-plus. 
James Herbert: 50-plus, yes. 
Ryan Blicker: And then speciation continue to be a headwind in the quarter with a tough comp. You said in the press release that sales of meat speciation testing, that they're not back to pre-scandal levels. Do you expect the sales of those tests to decline back to the pre-scandal levels or do you think that the current level of sales is sustainable moving forward? 
James Herbert: I think it's sustainable and probably we're seeing growth and I think we're continuing to see growth, we've had a lot of opportunities there. Horse meat was one thing, but we -- as people begin to test, they're finding more and more economic adulteration. They're seeing more turkey, ground turkey is being supplemented into ground beef with up to 10% or whatever and a whole lot different cattle prices, especially now, as you see how beef prices, people are doing economic adulteration there. Plus there's a lot of good opportunities going forward. We do a fair amount of work in our labs, for service labs in Scotland for fish, for fish species. It's been estimated that 30% of the fish that we buy are not the fish that it's claimed to be, that it's not cod, it's haddock or hake or one of those, especially in the oily fishes, and we see that realization is developing. We see that happening and probably more so right now in Europe because of what's happened over there in speciation scandals. But it's in U.S. -- that's one of those, the first time that probably somebody on the phone can remember the first time that McDonald's got accused of having a kangaroo in their ground burger meat and it was a huge problem for months and months. I think that's one of those things that could -- not McDonald and kangaroo, but it's one of those things that it's one of the earlier questions, how do you take it into account, hopefully we may have the product that they need and it always work to know what the contingency plans are. So I think speciation, to wrap it up in a few words, continues to have good, strong double-digit growth for us, as we make new products and as awareness of the marketplace continues. 
Ryan Blicker: Just one quick one on gross margin. You mentioned the negative dynamics from mycotoxin and then the positive dynamics from product mix in the Animal Health segment. Should we still look at Q1 margins as a trough? It doesn't seem like you mentioned that earlier. And do you think gross margin should continue to increase over the course of the year or do you think we're going to be kind of flat from there? 
Steven Quinlan: That's a great question. I don't know that I can give you anything more than a wishy-washy answer. We thought that the end of the fiscal '14 year was kind of a trough of the gross margins. They recovered a little bit quicker that we thought here in the first quarter, but it does have a tremendous amount to do with the product mix and we had a very, very strong mix in the first quarter. Some of the diagnostic sales in the Animal Safety side, the rodenticide sales on the Animal Safety side really popped the margin there. So we just have to see what the rest of the year holds. We think that the margins are going to be higher than last year margins. We just don't know what the levels are going to be going forward here. 
James Herbert: 9
 Yes. And remember, although gross margins are certainly important, look down at the operating profit, we've got -- somebody earlier asked about synergies, we've got some synergies where we may have a product that's 36% gross margin but it's got essentially no cost below the line. So a big part of that gets to pass-through. So that's the reason that -- if you've been on the program like we have with bolt-ons, you can afford to take on gross margin products because your operating expenses of R&D and sales and marketing are minimal. So I think you have to always look at that operating profit. 
Operator: Our next question here comes from Mr. Charles Haff from Craig-Hallum. 
Charles Haff: I have a question kind of as a follow-up to a previous question on the natural tox line item. You mentioned that Animal Safety constant currency revenues were about 7% but you had those difficult comps in the first quarter in that natural tox line item from the previous year and these are easier comps. Could we kind of extrapolate that maybe the natural tox line item would be around that 7% organic that you gave for all Food Safety or are we off there? 
James Herbert: I think it could be better than the 7%. As we open new markets, we've got a couple of new products coming into the market there, we have plenty of competition there. You're only good enough [indiscernible] publicize profitability in this business. So you drag in all that. I think we can be 10% to 12% growth there still. But remember that's the very first product line that we introduced, we started introducing diagnostic products 29 years ago with the detection of mycotoxin. So it's an area -- it's a market area that people are aware of. But it also just continues to grow every year. 
Charles Haff: Okay, great. And then a question for you on vet instruments, I know you've had some acquisitions there, but did the organic revenues in vet instruments grow year-over-year or were those flat or any color there will be helpful? 
James Herbert: That's one of those difficult to tell. As I talked about earlier, when [indiscernible] was on the phone. We bought SyrVet in July and so it was in for 2 to 3 months. But SyrVet products in July of '14 were heck of a lot different than it did in July '13, when Daniel Klein was kind of running it by himself with 2 salespeople and selling all day and hauling all night. When we put it into our organization that we had new distribution and had a lot bigger sales and marketing fortifying this. So it's kind of hard to say what was really organic and what was going to be accounting to probably the -- taking over some market shares in places. 
Charles Haff: Okay. And then my last question is regarding the days inventory. Steve, I think you kind of gave some explanations about that. It looks like it kind of ticked up a little bit. But I wonder if you could just go over that one more time, because it wasn't quite clear to me, the inventory days going up and what you think those might do in the future quarters of this fiscal year, if you have any views there? 
Steven Quinlan: Sure, Charles. We  had about $1 million of product that we couldn't get out the door on Animal Safety side just because we couldn't get trucks in over the Labor Day weekend. Not saying that as an excuse, just to say that's why some of the inventories grew a little bit. But we have that as a focus area for the company this year as to not necessarily minimize inventory, but to improve our turns and each location is working on those and we report on those monthly. So I think you're going to see the inventory turn number, or days on hand start to decline, the turns improve during the rest of the year here. 
James Herbert: And I want to replay that for each one of our managers that we've got our synergies in every part of our business to reduce some inventories, and some of that came about as a result of acquisitions that we still haven't cleaned up some right tail stuff. But I guess GeneSeek is our only group that's been running that 5-point something ongoing, probably 6x a year, that's probably the best performer we've got and maybe the only one that doesn't have opportunities to do some things. 
Charles Haff: So Steve, you think, kind of, getting back to the low 130s where it was last quarter by the end of the year, is that pretty reasonable or... 
Steven Quinlan: That is reasonable. I mean, I'd like to do better. 
James Herbert: Yes. We've got to do better. 
Operator: This concludes the question-and-answer session. I will now turn the call back over to Mr. Herbert for closing remarks. 
James Herbert: Well, thank you, all, and thank you for the insightful questions. So let me remind you that the company's Annual Meeting of Shareholders will be here in Lansing on October 2 to give the shareholders the opportunity to attend and we certainly welcome you here. For those of you that can't make the trip, remember to book your proxy. I'm up for re-election as a Director this year, so, thanks again and we'll stop and look forward to talking with you later. With you, Joe. 
Operator: And thank you, ladies and gentlemen. This concludes today's conference. Thank you for your participation and you may now disconnect.